Operator: Greetings. Welcome to Diana Shipping's 2022 Second Quarter Conference Call and Webcast. [Operator Instructions] Please note, this conference is being recorded. At this time, I'll now turn the conference over to Ed Nebb, Investor Relations. Mr. Nebb, you may now begin.
Ed Nebb: Thank you, Rob. And thanks to everyone who is joining us today for the Diana Shipping, Inc. 2022 second quarter conference call. Leading the call today will be Semiramis Paliou, Chief Executive Officer, along with other members of the management team. And so without further ado, I will turn the call over to Ms. Paliou, again, Chief Executive Officer.
Semiramis Paliou: Thank you, Ed. Good morning, ladies and gentlemen, and welcome to Diana Shipping Inc.'s second quarter 2022 earnings call. My name, as Ed said, is Semiramis Paliou, the company's CEO, and it is an honor to have the opportunity to present to you today. Joining me on this call this morning, we have Mr. Anastasios Margaronis, President of Diana Shipping; Mr. Ioannis Zafirakis, CFO and Chief Strategy Officer; Mr. Eleftherios Papatrifon, Chief Operating Officer; and Ms. Maria Dede, the company's Chief Accounting Officer. Before I begin, I kindly ask everyone to review the forward-looking statements applicable to today's presentation, which can be found on Page 4 of the accompanying second quarter's presentation. The second quarter of 2022 has been another great quarter for our company and continues the trend of robust profitability since mid last year. Market conditions remained positive during the second quarter and, in tandem with our chartering strategy, allowed us to continue generating attractive free cash flows. As a result, we have announced an even higher quarterly dividend for this quarter, reflecting our confidence in the market. Turning to Slide 5, I will review with you the company's snapshot as of today. Not much has changed since our last quarter, and we find ourselves owning and operating 35 vessels in the water with a carrying capacity of approximately 4.5 million deadweight tons. Five vessels in our fleet are unmortgaged. It should be noted that, as already announced, the merchant vessel Baltimore has been sold and is expected to be delivered to her new owners during the third quarter of this year. Our fleet utilization has remained at very high levels, coming in at 99.1% for the first half of 2022. 33 vessels in our fleet are managed in-house by Diana Shipping Services and 2 vessels are managed by our 50-50 joint venture, Diana Wilhelmsen Management Limited. At the end of the second quarter, we employed 156 people at sea and ashore. Moving on to Slide 6. I will go over the highlights of the second quarter and recent developments. More specifically, in May of this year, we declared a dividend of $0.25 per common share, or approximately $21.6 million in aggregate for the first quarter of 2022. In June, we signed a memorandum of agreement for the sale of merchant vessel Baltimore to OceanPal Inc. for an aggregate price of $22 million. 20% of the purchase price was paid in cash upon signing and the remaining 80% will be paid upon the delivery of the vessel in the form of newly issued preferred shares of OceanPal Inc. In anticipation of the merchant vessel Baltimore's delivery, earlier this month, we made a prepayment of $4.8 million on the relevant debt facility and successfully released the vessel's mortgage. As previously highlighted, the robust current market conditions have allowed us to be able to declare an even higher dividend for the second quarter of $0.275 per common share or $23.7 million in aggregate. Our Board will continue evaluating the market conditions for the declaration of dividends for future quarters. Lastly, our disciplined chartering strategy has allowed us to secure approximately $114.1 million of contracted revenues for the remainder of the year with 84% contract coverage and $93 million of contracted revenues for 2023, with 30% contract coverage. Ioannis will provide later on a more detailed analysis of our cash flow generation potential based on the current market environment. Turning now to Page 7, the financial highlights of the second quarter of 2022. We find ourselves as of June 30th, 2022, with a cash and cash equivalents position of $130.3 million, including restricted cash, as against $126.8 million as of December 31st, 2021. Our debt, net of deferred financing costs, stood at the $451.7 million at the end of the second quarter of 2022 as against $423.7 million at the end of 2021. Our time charter revenues for the second quarter of 2022 amounted to $74.5 million as against $47 million for the second quarter of 2021. Lastly, our earnings per share for the second quarter of 2022 came in at $0.42 versus $0.02 per share for the same period of 2021. Ioannis will go over these numbers in more detail further on in the presentation. Moving on to Slide 8. We find a summary of our recent chartering activity. Consistent with our disciplined chartering strategy, we have continued to take advantage of the favorable chartering market and have secured attractive time charters for 5 vessels of our fleet during the second quarter. More specifically, we chartered 3 Panamax/ Post-Panamax vessels at a weighted average daily rate of $19,881, and for a remaining average period of 188 days per vessel. We have also chartered 2 Capesize vessels at a weighted average rate of $21,922 per day for a remaining average period of 288 days. We intend to keep chartering our vessels in a similar way by staggering maturities, locking in cash flows, and positioning the company in a manner that allows us to participate in the market in a balanced way. I now turn it over to Ioannis to go over through the financials in more detail.
Ioannis Zafirakis: Thank you, Semiramis. Once again, I will try to be very quick with my comments. After all, this clearly has been a very nice quarter that everyone can realize without a lot of explanation. As you can see on Slide #1, our revenues from the charters were $74.5 million with an average number of vessels of 35. Compared to the previous year, the same quarter, was only $47 million and with more vessels in the water, i.e., 37. Of course, you can see the time charter equivalent rate for the quarters was on average $24,630-something, compared to $13,477 in the previous year for the same quarter. On Slide #10, the same picture is described and applies for the 6-month numbers where the revenues stood at $140.5 million compared to $88.1 million for the previous year 6-month period. With less ownership days this half, we managed to have close to double the revenues we had previously. The average time charter rate was $23,400 for the 6-month period compared to $12,439 per day. The operating expenses of the vessels have been kept more or less at the same levels. Slide #11. In this slide and the next one, what is worth mentioning is the earnings per common shares diluted, which for the quarter was $0.42 per share, which we feel that it is substantial and sustainable also for the near future. Slide #12. Income statement, there as well we see, again, the substantial earnings of $0.73 per common share diluted. Slide 13, as regards our balance sheet, we have kept our cash position clearly at very healthy levels of $130 million, and our total debt [only] $451.7 million. That makes our net debt position to be at close to $329 million. Slide #14. This is one of my favorable slides, which for me shows clearly how well we have managed our maturities and our debt amortization profile. As you know, this is very important for the company's future and also the ability of the company to pay dividends. I don't have to go through that slide again. We have discussed that many times. Slide #15. In addition to the previous, this is a slide that shows our ability to keep paying a dividend and also to improve the value of the company. As you can see, the free cash flow breakeven is very healthy, and it stands at a bit less than $14,000 per day. Based on our average daily time charter rate for our fixed revenues of 2022, which is $24,100 almost and for 2023 it's $24,953. The difference between the two is the generation of cash, basically. Slide #16. Again, this is a slide that we have used many times to show our non-speculative and disciplined employment strategy. What is worth mentioning here is the fact that we have secured $114 million plus for the remaining days of 2022, starting from 19 of July onwards. We have also 16% of the days unfixed. And the fixed days average is $24,098 per day. Slide #17. As a highlight of our presentation, this Slide 15 shows the potential of cash generation for the remaining of the year 2022 and for 2023 based on recent FFAs. As you can see, $50 million plus can be generated for the remaining of the year based on various assumptions. And for the year 2023, $62 million plus. Before I hand over the presentation to Stasi, I would like to mention once again how confident I feel personally for our cash flow generation for the near future. Stasi, you can continue with the boring stuff of the market.
Anastasios Margaronis: So I'll try and keep everyone awake, and welcome all the participants to this quarterly conference call. Have to start by saying that the war in Ukraine has continued to have its effect on shipping through the second quarter of this year. As Clarksons point out, the significant disruptions in trade patterns are expected to support the tonne-mile trends throughout this year and possibly the early part of 2023. More specifically, longer haul European Union coal imports, some Atlantic exports from Russia for Far Eastern receivers and disruption to grain trade patterns are projected together to drive up the average distance of the dry bulk seaborne voyage this year by about 1%. So Clarksons draw the conclusion that these shifting trade patterns are projected to drive tonne-mile demand higher by about 1.4% year on year. However, let us look at what effect the war and other factors have had on large bulk carrier earnings over the last few months. The Capesize average of the 5TC routes last year was $33,333 per day. So far this year, the 5TC route average rate has been only $18,382 per day. Panamaxes were slightly more stable. The Kamsarmax average 5TC rate in 2021 was $26,900 a day approximately. So far this year, these vessels have earned on average about $24,200 a day. As of yesterday, July 27, the Baltic Dry Index closed at 2,007 while the Baltic Cape Index closed at $2,333. The Baltic Panamax Index was at 2,076. The recent downward trends of these indices can be seen on Slide 18. Turning to macroeconomic considerations on next Slide 19. According to the IMF, world economic growth has certainly been affected by the war in Ukraine. World GDP growth for 2022 is now expected to come in at 3.6% for this year and the same for 2023. In the United States, the equivalent figures are 3.7% for this year and 2.3% in 2023. In the Euro area, GDP is expected to grow by 2.8% this year and just 2.3% in 2023. China's GDP growth is expected to close at about 4.4% this year and 5.1% next. All these figures have been adjusted down recently, which is a result of increasing interest rates caused by a spike in inflation throughout the western world. This in turn has been caused by the well-advertised increases in the cost of energy, food, and other staple goods. The Braemar in their weekly dry bulk report expect the Chinese economic activity to improve in the second half of this year, and that will set a positive tone for the dry bulk market as a whole going forward. Still on Slide 19, we talk about speed according to Commodore Research, last May marked the third straight month where global crude steel production fell on a year-on-year basis. At the same time, the world has been buying less Chinese steel. This is a clear result of the global economy, which continues to weaken month by month. According to Commodore Research, in China, the end of June stockpiles of flat and construction steel were 1.2 million tonnes higher than at this time last year, or about 7% lower. For June steel production, excluding China, stood at just over 67.4 million tonnes. This is a 9% year-on-year contraction in global crude steel output for that month outside of China. Turning to iron ore. On a worldwide basis, the seaborne iron ore transportation is expected by Clarksons to remain steady this year at around 1.5 billion to 1 billion metric tons. Next year, an increase of about 1% is anticipated, which will take the total to 1.53 billion tonnes. Overall, according to Clarksons, Chinese seaborne iron ore imports are now projected to decline by 2% this year to just over 1 billion metric tons. Coking coal now. Global coking coal markets continue to be affected by the fallout of the Russia-Ukraine conflict. Prices are near the multiyear highs and trade patterns continue to shift and evolve. As reported recently by Tradewinds, South Africa's Richards Bay Coal Terminal have witnessed a 40% increase in coal shipments destined for European ports in the first 5 months of the year. Other countries such as Japan have blocked the importation of Russian coal. The country plans to replace this coal with shipments from Indonesia and Australia. It is estimated that such a move will increase the tonne-mile ratio significantly. China has emerged as a buyer of large quantities of Russian coal. Most of this coal is shifted from Russia to China by rail, thus cutting some bulk carriers out of the entire picture of supply/demand for this commodity. For this year, Clarksons estimate that their shipments of coking coal will increase by 1% and reach 269 million metric tons while for 2023 they expect a further 2% increase with exports reaching 276 million metric tons. Thermal coal now. According to Clarksons, the seaborne thermal coal exports are expected to drop by 1% this year to 958 million tons and increase by 1% again in 2023. Benchmark thermal coal prices have been fluctuating in recent weeks and months around the record high of $370 per tonne. This year's drop in volumes was mainly the result of weak demand from China due to the high prices and rising domestic production. Chinese coal production in June grew year-on-year by 17% according to Commodore Research. Meanwhile, Chinese coal-derived electricity generation contracted last month by about 5% on a year-on-year basis. Currently, according to Commodore Research, Chinese northern coal port stockpiles were higher by 7 million tonnes compared to last year, which is an increase of about 39%. As Tradewinds have recently reported, the railway infrastructure for bringing coal from the South African coal mines to load ports has placed a limit on the increase in export volumes from those ports. Therefore, European buyers of coal have been actively looking at South America and the United States as alternative coal sources. Turning to grain trade. According to Clarksons, given the loss of Ukrainian exports, global seaborne grain trade is now projected to decline by 4% this year. Ships and trade patterns are projected to result in a smaller decline in tonne-miles of about just 5%. However, a lot of uncertainty remains over the outlook. Total grain imports are expected to increase by 3% to 520 million tonnes in 2023. Coarse grain exports are expected to decline by 8% and wheat exports are expected to total 205.5 million tonnes, which would be 3% more than what is expected to come in for the 2021-'22 grain season. Turning now to the supply of tonnage on Slide 21. Before moving on to pure bulk carrier newbuilding statistics, it's worth noting that according to Clarksons, in the general concept of fueling transition, by the end of June, there were 950 alternative-fuel-capable vessels on order, with carrying capacity of 70 million deadweight. This represents 44% of the order book. From these vessels, about 700 are said to be LNG capable, while 84 units are said to be LPG capable, and a further 84 units are said to be methanol cable. Keep in mind that these statistics are for all types of ships on order. The order book in the dry bulk sector now stands at just 7.2% of fleet capacity, with 14% of the total fleet order book of 65.7 million tonnes being alternative fuel capable vessels, mainly LNG. From this total figure, 38% of the total capacity on order in the Capesize sector will be for alternative fuel vessels. In the Capesize sector, about 23 million deadweight are on order, representing about 6% of the trading fleet as of 1st June. There are 22 million deadweight tonnes on Panamaxes on order, equivalent to 9.1% of the trading fleet. As for Handymax vessels, the total tonnage on order is 17.4 million deadweight, representing 7.8% of the trading fleet. According to Clarksons, the total bulk carrier fleet is expected to grow by a net 2.4% this year and a mere 0.7% in 2023. The Capesize fleet is expected to grow by 1.8% this year and by 0.8% next. Same figures for the Panamax fleet, anticipated to grow by 3% this year and 1.6% one year from now. As Clarksons pointed out, newbuilding market activities has recently been led by record ordering of containerships and LNG carriers. At the same time, ordering of bulkers and tankers, which together account for 75% of world fleet deadweight capacity has been limited, so much so that the containership sector order book is now larger than both the tanker and bulker order books combined in deadweight terms, which is the first time this has happened. Chinese newbuilding Capes are now priced at around $64.5 million, which is about 9.3% higher than they were at this time last year. As regards Kamsarmaxes, the latest price is around $37.5 million, equivalent to 15.4% more than last year's price. When looking at supply of tonnage, we need to also keep a close eye on congestion. For example, with the gradual easing of COVID-19 restrictions in China, congestion is gradually coming down in the Pacific region. Tonnage in the Capesize sector is more plentiful, and this might place a lid on freight rates short term and until vessels gradually migrate towards the Atlantic. It is estimated by Clarksons that about 3% of the bulk carrier fleet is currently tied up by congestion. This is down from 6% at the beginning of this year. All in all, we agree with Clarksons that the supply side of bulk carriers appears to be quite manageable. New environmental regulations that might lead to extra scrapping and slower speed, mainly of older ships, make the supply side dynamics seem distinctly favorable for the bulk carrier sector. Looking quickly at scrapping. Scrapping of bulk carriers has been limited during the last few quarters, mainly due to the firm freight rates witnessed recently. However, prices are just under $600 for light tonne displacement will tempt owners to sell several older units to scrap due to environmental and other regulations coming into force over the medium and long term. According to Clarksons, only 17 bulk carriers or 1.8 million deadweight reported sold for demolition so far this year compared to 5.2 million deadweight scrapped for the whole of last year. Capes have accounted for 84% of all dry bulk carriers sold for demolition so far. The forecast for this year is that only 5.7 million deadweight will be sold for scrap and about 22 million deadweight in 2023. Finally, let's turn to the outlook for our industry. It would be a fair conclusion to reach by looking at the above-mentioned statistics and forecasts that the bulk carrier sector should, if there are no further external dislocations and disruptions, do relatively well over the next few quarters. Once the summer quiet season is over, shipments and inquiry should pick up and all sizes of bulkers should benefit accordingly. We agree with Clarksons that even though iron ore shipments are vulnerable to a world recession, grain and coal shipments will continue supporting the dry bulk market for as long as the west tries to become independent of Russian commodities. Increasing interest rates will act as a headwind for world growth. It would not be unreasonable, however, to assume that the world's largest economies, that is the United States and China, will act as a catalyst in keeping world growth from slowing down too much and causing disruptions in bulk commodity trading, among other things. A recession in the United States will hopefully be short and shallow if it actually emerges. China's growth will resume through the measures that the Chinese government is taking in order to avoid a sharp slowdown, such as the creation of a $75 billion infrastructure fund, which will help revive China's economy from this quarter onwards. In this environment of reasonably healthy earnings, with a degree of uncertainty though, Diana's business strategy will evolve in such a way as we maintain the integrity and strength of our balance sheet. At the same time, it should offer the ability for paying our shareholders a very attractive dividend return, at least for the near term and hopefully longer. I will now pass the call to our CEO, Ms. Semiramis Paliou for closing remarks. Thank you.
Semiramis Paliou: Thank you, Stasi. So before we open it up to the questions and answer session, I would like to provide a summary of what I believe to be the most important point. First, we remain disciplined and focused on taking advantage of favorable market conditions for securing positive free cash flows that allow us to continue rewarding our shareholders with attractive dividends. Secondly, we remain vigilant in maintaining a strong balance sheet that allows us to entertain creative growth and fleet renewal opportunities. Third, we are committed to our long-term strategy of providing relevant stability in a cyclical business with an emphasis on maximizing shareholder value. Now I will turn over the call to the operator to commence the questions and answer session.
Operator:
Semiramis Paliou: Thank you all for joining us today, and we look forward to talking to you again in our next financial results call. Thank you very much.
Operator: Thank you to everyone attending today. This concludes today's call. You may disconnect your lines at this time.